Operator: Welcome to the third calendar quarter 2015 Gildan Activewear earnings conference call. My name is Sophia, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Sophie Argiriou. Ms. Argiriou, you may begin.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Sophia. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued a press release announcing our results for the third calendar quarter of 2015 and our interim shareholder report containing management's discussion and analysis and consolidated financial statements. These documents will be filed with the Canadian Securities Regulatory Authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. With me on the call today are Glenn Chamandy, our President and Chief Executive Officer, and Rhod Harries, our Executive Vice President and Chief Financial and Administrative Officer. Our call today will begin with Rhod taking you through our third quarter performance and our business outlook, followed by a question-and-answer session during which Glenn and Rhod will respond to your questions. Before we begin, I'd like to provide with a quick update on our upcoming events. We plan to announce and hold a conference call for our fourth quarter and full-year 2015 earnings results and guidance initiation for 2016 on February 24. We're also planning an investor and analyst trip to North Carolina on March 9, 2016 and March 10, 2016 to tour our new yarn spinning facilities and give you an opportunity to hear more about the company's business strategy from our management team. We'll be sending out a save-the-date notification and more details about the trip shortly. Before I turn it over to Rhod, let me remind you that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors which could cause actual results to differ materially from future results, expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company's future results. And with that, I will turn the call over to Rhod.
Rhodri J. Harries - EVP, Chief Financial & Administrative Officer: Thanks, Sophie. Good morning, everyone. And let me start by saying I'm very pleased to be in this call with you and to take you through the company's third quarter performance. Before we get started, I would like to first thank the Gildan Management Team and my predecessor, Laurence Sellyn, for their support over the last three months during my transition into Gildan. Today, we reported adjusted EPS of $0.52 per share which was up 4% compared to the same quarter last year and in line with guidance provided at the end of July. We also provided guidance for the fourth quarter of 2015 projecting net earnings to be a record for our fourth calendar quarter. After three quarters in which results were negatively impacted by margin compression due to the misalignment in the timing of lower printwear net selling prices and the benefit of lower manufacturing and cotton costs, we resumed an upward trajectory of EPS growth in the third quarter of 2015 as we previously projected. The growth in earnings was driven both by unit sales volume increases and operating margin expansion. While sales growth was constrained in our Branded Apparel business unit by continuing lower retailer inventory replenishment, together with soft demand related to the back-to-school period, we continued to grow the presence of the Gildan Brand in the quarter, with sales of Gildan-branded products increasing 30%. In Printwear, unit sales volumes in the U.S. market grew 6%, and international sales recovered strongly during the quarter. Turning to costs. Savings from our capital investments began to materialize in the quarter, and we benefited from declining cotton costs, lower purchase input costs and the non-recurrence of the transitional manufacturing costs related to the ramp-up of new retail programs which were incurred in 2014 and which continued to flow through cost of sales during early 2015. All of these factors contributed to strong operating margin performance improvement in the quarter. We were pleased to see Printwear operating margins return to historical levels and Branded Apparel margins improve both on a sequential basis and year-over-year basis as we've reflected in our plans for the year. We also made new breakthroughs with our Branded Apparel strategy, as Gildan-branded socks and underwear started to roll out in stores of a new major U.S. mass retailer. We're excited about the potential growth opportunity for the Gildan brand as we further expand our distribution with this retailer. This rollout, together with new underwear program shipments to new retailers during the quarter, added more than 6,000 new retail doors with Gildan-branded underwear placement and brings us closer to our target of having a presence in 18,000 retail doors by the end of the 2015 holiday season. Now, let me provide more specific commentary on our results for the quarter. Consolidated net sales of $675 million increased 1.3% compared to the same period last year. Printwear segment sales were $440 million, up 1% compared to the prior year quarter, and Branded Apparel sales of $234 million, increased 1.7%. Consolidated net sales came in below the company's guidance by approximately $15 million due to the continuation of lower than anticipated inventory replenishment by a U.S. major retail customer and weaker than anticipated demand during the back-to-school period, which limited sales growth in our Branded Apparel segment. Turning to our segments results. The increase in Printwear sales reflected unit sales volume growth in excess of 6% in the U.S. where we continue to see good traction as a result of the pricing action we took in December. We achieved continued penetration in the high-value, higher-growth, fashion basics and performance segments including strong unit volume growth from the acquisition of Comfort Colors. We were also able to leverage our ring-spun yarn capacity investments and achieve strong growth in ring-spun products that have been incorporated in both our Anvil and Gildan-branded product lines. So, major yard investments are not only resulting in major manufacturing cost reductions, but also providing further differentiation in product quality features, which are driving top-line sales growth and further market share penetration. In Printwear, we also saw international sales volume growth of 13% in the third quarter, and sales in Europe recovered with momentum building throughout the quarter. The short-term logistical issues with one of our distributors in the UK in the June quarter will result and unit shipment strengthened as overall industry pricing became more closely aligned. In Asia Pacific, which is a large target growth market for our company, we continue to achieve strong growth. Overall, the favorable impact of Printwear unit volume growth more than offset lower net selling prices, unfavorable product mix related to the timing of fleece sales compared to last year and the negative impact of the decline in foreign currencies against the U.S. dollar. Operating income for Printwear for the third calendar quarter was $124 million, up approximately 5% from the prior year. Operating margins increased 90 basis points to 28.2%, mainly due to lower manufacturing cotton costs and the acquisition of Comfort Colors. Moving to Branded Apparel, the retail environment proved to be more challenging than anticipated during the back-to-school period and demand for the quarter fell below our expectations. In spite of this weakness, Branded Apparel sales increased 1.7% compared to the same quarter last year. The increase was driven by sales growth of 30% for the Gildan brand, higher sales for the Under Armour and Mossy Oak-licensed brands and increased sales for global lifestyle brands. These factors more than offset lower sales of private-label programs and Gold Toe-branded products and the impact of lower inventory replenishment for Gildan-branded men's underwear. We should emphasize that the decline in Gold Toe-branded sales reflected overall market weakness in the department store and national chain channel. Our lean market share for Gold Toe men's and ladies socks for the September quarter was up compared to the same quarter last year. It should also be noted that our market share for Gildan-branded men's socks for the month of September was 14% according to NPD and the Gildan brand is now the number two brand in the category. Turning to underwear. Notwithstanding lower retailer inventory replenishment, we maintained market share in excess of 7% in September for Gildan-branded men's underwear according to NPD. While the impact of lower inventory replenishment continues to limit sell-through for Gildan-branded underwear products and our market share, we are confident that as these issues are resolved and we continue to broaden our retailer distribution, we will achieve our goal of 10% market share for Gildan-branded underwear, which we now expect to reach in the first half of 2016. Branded Apparel operating income of $30 million for the September quarter increased by 34% compared to $22 million in the same period in 2014. Branded Apparel operating margins were 12.9%, up 310 basis points versus the prior-year quarter and 470 basis points versus the second quarter of 2015. The expansion in margins primarily reflected the retention of cost savings generated from yarn-spinning investments and other capital projects, declining costs, lower purchase input costs and non-recurrence of the transitional manufacturing costs which impacted margins in the third quarter of 2014. The year-over-year margin improvement was achieved after higher investments in Branded Apparel SG&A related to marketing and advertising spend. We are pleased with the increased exposure that the Gildan brand is receiving and continue to see create value from our investment in the endorsement agreement with Blake Shelton. During the back-to-school period, we capitalized on Blake Shelton in-store pallets and signage supporting the Gildan brand. Moving to Gildan's cash flow performance. We generated close to $150 million of free cash flow in the quarter, after financing just over $40 million of capital expenditures primarily for investments in yarn-spinning facilities in the U.S., textile projects in Rio Nance, and the expansion of the company's Printwear distribution center in Eden, North Carolina. The company ended the quarter with net debt of approximately $415 million. Turning to our guidance for the fourth calendar quarter of 2015. We are projecting EPS of $0.28 to $0.30 per share on projected sales revenues of in excess of $500 million compared with an adjusted net loss of $0.15 per share on sales revenue of $391 million in the prior-year quarter. As a reminder, the net loss in the fourth calendar quarter in 2014 was primarily due to the impact of the strategic pricing actions taken in December. This included the $48 million distribution inventory devaluation discount and the higher-than-normal seasonal destocking during the quarter, which will not reoccur in the fourth calendar quarter in 2015. Although fourth quarter results for this year are slightly lower than our previous forecast, projected net earnings are expected to be by far a record for a fourth quarter and up by more than 60% compared to the previous record in 2013. We have slightly tempered expectations for the fourth quarter for Branded Apparel in light of the continuing impact of issues with the retailer inventory replenishment, in line with uncertain retail market conditions. In addition, we expect less favorable than previously anticipated Printwear product mix in the fourth quarter, as warmer seasonal weather is projected to result in lower seasonal sales of high-value fleece and long-sleeve T-shirts. Results for the fourth calendar quarter of 2015 assume continued volume growth in both operating segments, including the impact of new retail program shipments in Branded Apparel and the impact of the acquisition of Comfort Colors. Operating margins will continue to reflect the benefit of manufacturing cost savings and lower cotton costs. However, as the fourth calendar quarter is seasonally the lowest quarter of the calendar year for Printwear sales volumes, Printwear operating margins will be lower on a sequential basis. Branded Apparel operating margins for the fourth quarter of 2015 are expected to continue to improve due to lower manufacturing and cotton costs. For the full year, we've reduced our sales and EPS guidance to reflect the sales shortfall in Branded Apparel in the third calendar quarter and the slightly lower than previously anticipated fourth quarter results. We are now projecting adjusted diluted EPS for the full calendar year to be in the range of $1.46 to $1.48 per share on projected sales of close to $2.55 billion. We are now forecasting sales growth in Printwear for the full calendar year to be close to 10%. And Branded Apparel sales growth for the full calendar year is now expected to be approximately 12%. Adjusted EBITDA for the full calendar year is expected to be in excess of $500 million. And capital expenditures are now projected to be approximately $250 million. We are now well into November, and we feel confident about achieving further momentum in the fourth quarter, which will position us for continued earnings growth in calendar year 2016. Earnings growth in 2016 is expected to be driven by volume growth in both operating segments and lower cotton and manufacturing costs. Cotton costs in 2016 are projected to be significantly lower than 2015, particularly in the first half of the calendar year. At our second quarter conference call, we said that we had completed our cotton fixations for the first half of 2016, and we have continued to build on this position during the third quarter. Results in 2016 are also expected to benefit from further manufacturing cost savings from our capital expenditure programs as well as the non-recurrence of the transitional manufacturing costs in Branded Apparel, which flowed through cost of sales primarily in the first calendar quarter of 2015. It's been about three months since I joined Gildan. And during this time, I've had the opportunity to get more closely acquainted with the company's operations. I'm very comfortable and supportive of the strategic direction that has been laid out and recognize the strong foundation upon which the company can build going forward. The company is well-positioned and has the balance sheet strength to drive long-term growth and value creation. With respect to achieving continued growth in Printwear, we're seeing that the strategic pricing actions have played out well since implementation in December. Unit volume growth continues, and further penetration in the Fashion Basics and Performance segments is being achieved. We are also seeing strong growth in international markets. In Retail, we are growing our brand presence and achieving new programs and stronger placements, and we are continuing to reinforce our success by investing in our brands. Our strategy of continuous capital investment in capacity expansion, including our future projects in Rio Nance in Costa Rica and in further vertical integration and cost reduction projects, is delivering cost benefits and enhanced manufacturing and product capabilities. We remain on track to achieve our projected three-year target of $100 million in annual cost savings by the end of 2017. Lastly, as our EBITDA continues to grow and annual capital expenditures decline, with the completion of our vertical integration into yarn-spinning, we are also placing increasing emphasis on our strategy to redeploy our free cash flow. We will continue to seek new acquisitions which complement our organic growth strategies and lever our competitive strengths to further enhance earnings growth and return on capital. We will also evaluate the potential for further share repurchases and growth in our dividend. As Sophie mentioned at the beginning of the call, in March 2016 we will hold an investor trip in North Carolina, which will include tours of our three new yarn-spinning facilities as well as management presentations on our strategic initiative to drive our growth in our Printwear and Branded Apparel businesses. We will also provide an update on our capacity expansion plans and our plans for cash redeployment. We very much look forward to seeing you there. This concludes our formal remarks for the quarter. Thank you, and I will now turn the call back over to Sophie.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Rhod. Before we move to the Q&A session, I ask that you limit the number of questions to two in order to give everyone the opportunity to ask a question. We'll circle back for a second round of questions if time permits. I'll now turn over the call to the operator for the question-and-answer session.
Operator: Thank you. And our first question comes from Sabahat Khan with RBC Capital Markets. You may begin.
Sabahat Khan - RBC Capital Markets: Thanks, just a question on the retailer inventory destocking. What are you seeing on that front? Is that going down, or should we expect that issue to continue until you lap it later this year?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Hi. It's Glenn. I would say that there were two separate components that have transpired this year. One was destocking of inventories, which is basically behind us right now. And really what's affecting our ability to gain share right now is the replenishment of our products in the retail stores. So if you go visit our largest mass market retailer, you'll notice that the pegs are still empty. So they're still having difficulties in terms of replenishing our product, which has affected our POS mainly. We're working very closely with them to overcome these issues. Again, one of the reasons why it's affected us a little bit more is because of the value price equation of our products and the velocity of sell-through. They just can't bring the goods fast enough to the pegs. So we're working very diligently to fix the issue. We're confident that we're heading in the right direction, but we think it's still going to take a little bit of time. So we've pushed back our objective of hitting that 10% market share towards the first half of next year. At the same time, we're focusing on other retailers. We opened up 6,000 doors of new business in the quarter, and we're on track of achieving our 18,000 doors by the end of the year. And I think as we look and go forward into 2016, we have a lot of momentum with the orders we obtained this year. And we're going to continue to expand on the existing programs into 2016 with all these new retail wins. So we're pretty excited. We're a little bit disappointed in, obviously, in the ability for us not to achieve our short-term goals of delivery replenishment, but we're still overly optimistic with the brand strategy and our brand positioning.
Sabahat Khan - RBC Capital Markets: Thanks. And just on the acquisition front, you said you would consider uses of cash in terms of dividend and share buybacks next year. But on the acquisition front, what are you seeing out there? Is that a pretty active pipeline and what kind of acquisition targets are you looking at?
Glenn J. Chamandy - President, Chief Executive Officer & Director: All of our acquisitions have been very strategic in nature. And going back to Doris, which was, for us, a very strategic acquisition which enhanced our product portfolio by bringing sheer and shapewear into our product lineup, as well as bringing new brands like Secret Silky, Kushyfoot, Therapy Plus. We're going to continue to lever even Doris, for example, into new products. In Gold Toe this year, we just launched some new sheer and some shapewear. And we're also going to be introducing our Gildan brand in Canada through the acquisition of Doris. So as we go forward, and looking at new acquisitions, they need to be complementary to our – I think our organic growth strategy, either products, brands, or distribution channels which will allow us to continue growing our organic growth, like Doris, and again like Comfort Colors, which has also been a great success for us where we've now fully integrated into our Gildan operations and has allowed us to, really, to capture a fast-growing part of the fashion basics segment in Printwear.
Sophie Argiriou - Vice President-Investor Communications: Operator?
Operator: And our next question comes from Anthony Zicha with Scotiabank. You may begin.
Anthony Zicha - Scotia Capital, Inc. (Broker): Yes. Good morning. Glenn, could you – given the competitive market in the Printwear channel, could we expect industry consolidation? And could this industry consolidation impact Gildan?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I think that the industry has been consolidating for the last 15 years to be perfectly honest with you – like all other industries. I mean, consolidation is just, I think something that's happening in not just the Printwear channel, but I think in most businesses today. But I don't think we're – the way we positioned ourselves is, we've been investing heavily in manufacturing. We're the only company that's spent – we're spending this year $300 million, we've spent $1 billion in the last three years, to position ourselves to be the market leader. We've taken unique pricing, strategic pricing decisions at the beginning of the year. It's paid off big dividends. We've seen our unit volume up about 6%. And even despite that, because of all the investments we've made, we've seen our operating margins come back to historical levels despite the huge price reductions that we've made in the beginning of the year. And the way we're looking at it is that as long as we keep investing in our product, our brands, our manufacturing, we think that the market will continue to consolidate. But Gildan will be the winner. And we're pretty confident about our future in Printwear.
Anthony Zicha - Scotia Capital, Inc. (Broker): Okay. Great. And one more question. You may have answered it in the past, but just a bit of an update. Do you see any impact stemming from the TPP and how does it play out for Gildan over time?
Glenn J. Chamandy - President, Chief Executive Officer & Director: We don't see any impact, to be perfectly honest with you. First of all, TPP and most of the segments in – almost all the segments in which we compete would – basically, the way it's written is there'll be a portion of duty relief in the beginning, and then nothing will happen for over 11 years. So despite that, I mean, look at – we've made manufacturing decisions. I mean, we think that our expertise is manufacturing. We've made huge investments. And before we made any of these investments, we looked at our cost structure and our ability to compete on a global basis. We're supplying products from our Central American facilities into markets that have zero duties or quotas today like Europe, for example, Canada in certain cases. So we know that we've built a model to be globally competitive. And we don't see it as being a factor, to answer your question.
Anthony Zicha - Scotia Capital, Inc. (Broker): Okay, thank you very much.
Operator: And our next question comes from Kenric Tyghe with Raymond James. You may begin.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Thank you. Good morning. Just switching gears to Printwear again very quickly. Glenn, what's your level of comfort with the pricing action you've taken in Printwear essentially? How balanced do you see that market currently from a price perspective? And could you also just clarify that 6% unit volume growth, was that organic or including Comfort Colors? And if it did include Comfort Colors, could you give us some indication on the organic?
Glenn J. Chamandy - President, Chief Executive Officer & Director: That's all organic. And just remember that Comfort Colors, before we acquired the company last year, it was a customer of Gildan. And we supplied mostly their blanks. So really, from a unit volume, Comfort Colors didn't give us a big lift. But over time, the value of the product, because we add value to a basic T-shirt or we garment dye it, obviously, those units will be sold at an incremental price and unit sales volume. But in unit volume, it was all organic growth of 6%.
Kenric S. Tyghe - Raymond James Ltd. (Broker): And on the pricing sort of dynamics, how balanced that Printwear market is on pricing, Glenn?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Right now if we look at – the pricing is very stable in the channel. There is very little promotions. What our strategy has been, like I mentioned last time, is that if you look at the market, it's really comprised of two focuses for us. One is the basic segment which is roughly about 60% of the market and the other being fashion. So our strategy has been to take the basic segment, price very aggressively, be the market leader, and that's really was initiated by our pricing action. What's driving our unit volume growth of 6% is just not – just the basic segment, is that we reinvested heavily in the fashion segment with Comfort Colors, Anvil, and all of the ring-spun initiatives that we've put together basically in our product line, which is the fastest growing segment of the market as well as our performance products. So the way we're approaching it and what's driving our unit volume is basically is winning on the core basics, but also developing the growth in the fashion categories which ultimately will give us a good mix and keep growth going into 2016.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Great, thank you. And then just back to retail very quickly, Glenn, is there the fleece impact and the delayed shipment, is there a risk of that sliding further out if weather does stay warmer longer, or is there a date at which it will ship in total? I'm just trying to get an indication if there's any slippage or whether at some point, retailers have no option back to pull the trigger regardless of what they're doing?
Glenn J. Chamandy - President, Chief Executive Officer & Director: First of all, the fleece slippage for us is actually in the wholesale market. It's not retail.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Sorry, yeah.
Glenn J. Chamandy - President, Chief Executive Officer & Director: So what happened is that, typically, the weather has been a little bit warmer, and we've seen little slower POS than we projected. But saying that in the November, obviously, it's already old news for us, pre-November. But as we entered November, we've seen a pretty good pick-up in fleece sales, so as the weather turned. So we think it's really weather-related, but at the same time, we've taken a little bit of cautious approach in terms of our forecast. But so far so good in terms of what's happened in November.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Great. Thanks. I'll leave it there.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thanks.
Operator: And our next question comes from Chase Bethel with Desjardins Securities. You may begin.
Chase Lance Bethel - Desjardins Securities, Inc.: Hi. Good morning. On the branded market share, you mentioned that it stayed above 7% even with the headwind of the mass channel. Do you have the sort of visibility to be able to say how you – like how market share trended sequentially at that – on the mass side and then I guess ex-mass in terms of POS?
Glenn J. Chamandy - President, Chief Executive Officer & Director: First of all, POS at mass was slightly down. So obviously, we're growing a little bit or maintaining in a down market. And again, I mean, if you look, I think, in terms of the lost opportunity in terms of our replenishment, then we think we would have achieved our goals with the ability to sell our product and sell through. So it's a function really of making sure that we get our replenishment and that we get our in-stocks at the right level, so consumers can buy our product. And then you can just walk into the stores yourself today and see that we have huge holes in our pegs where we have our products. But at the same time, we will see our market share continuing to grow from this point on just from all the new placement that we have, like I said, which is the over 6,000 doors we've shipped to in this quarter, and we'll have over 18,000 doors by the end of the year. So a lot of these new programs will also start to kick in and help us with our market share gains. And we still feel comfortable with our objective of 10%. It's just going to take us a little longer to get there. We're working very hard to get the replenishment fixed. We're confident we will. And that will really be beneficial to our overall share gains as we go forward. But also with saying that, I mean, one of the things I'd like to just point out as well is that we've had great success in the Gildan brand. I mean, our sock market share is now 14%. We're the number two brand in men's socks. I mean, this is pretty good. All this combined is continuing to resonate with consumers, how Gildan is being seen in mass as a brand and by the positioning with our advertising, and the focus we have with Blake, and everything else we're doing, our brand is continuing to resonate. Our Gildan brand was up over 30%. So – everything is in place. All of our brands are doing well, not just Gildan. I mean, Gold Toe is growing in a down market. Our Mossy Oak business is doing very well in all channels. Our Under Armour business is growing. And another point maybe to mention is that we're still very comfortable and confident of our growth in 2016. We took a lot of new programs this year that were set halfway through the year. And as we annualize those programs in 2016, they're going to continue our momentum and we're also going to build on those programs and look for more space. So we're very excited. We're also focusing on divesting ourselves still of some of the legacy private label and some of the marginal GLB programs as we go into 2016. But overall, all of our focus on all of our core brands will continue to grow at a very good clip as we move into 2016.
Chase Lance Bethel - Desjardins Securities, Inc.: Okay. And I believe last year, we saw a dynamic where, because of the holidays, there was a shift to, I guess, more department store shopping and basic as opposed to mass. So what you're saying is even with – given the new doors, you see yourself, your market share not sort of ticking down and then going up, but going up through the next several quarters.
Glenn J. Chamandy - President, Chief Executive Officer & Director: It's going to continue to grow. I mean, I think this quarter, we'll see growth in our market share. We just want to temper expectations only because we're not in control of our replenishment. And as that picks up, it will grow quicker, but we think that it's realistic in the first half to have our 10% goal. And we'll even set probably a larger goal as we go into next year when we give guidance. But at this point, that's sort of where we feel comfortable with based on what we see in the market. But don't underestimate the amount of programs that we have. We've opened up a significant amount of retailers this year. And as that product starts selling through, we feel very comfortable that we will continue to see our share gains as we go forward.
Chase Lance Bethel - Desjardins Securities, Inc.: Okay. Thank you.
Operator: And our next question comes from Taposh Bari with Goldman Sachs. You may begin.
Taposh Bari - Goldman Sachs & Co.: Hey, there. Good morning. Glenn, I was hoping you can just elaborate further on the difference between the destocking issue and the replenishment issue at these major accounts? Specifically, when did those begin? Are they related or unrelated? And as we think about the – and the third piece is when have they ended? I guess the destocking issue ended. When did that occur? And as we think about the replenishment issue that seems to be continuing, what gives you the confidence that that's in fact a supply issue and not a demand issue?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Okay, so we'll start off with those are two separate issues. So one is what we consider destocking is when a retailer would necessarily bring their inventory levels down. So that's a once thing because they're working with less weeks of supply. And that's really transpired and completed, I would say, in our Q3. The replenishment is something completely different because it's limiting our product to be available to consumers to buy. So in other words, if our shelves are not full because they're not being restocked, for example, and a consumer can't buy a product, then the goods will get replenished. So at the end of the day, if you walk into let's say our biggest mass market retailer and you look at our pegs, they're completely picked through, and we get pictures every single day from investors going why are your pegs empty? So what's happening is that our product is priced right, the quality is right, it's selling very fast. So what's happening is that they can't get enough goods from the back shelves to fill the demand of our product in the space that's available to us today. So therefore, if a consumer wants to buy something, he's not buying our product. He could be buying somebody else's product. So our objective is obviously to work with our retailer, make sure that we get the shelves full, look to see if we need to get more space. There are different things that are available to us to try and overcome this issue. But I guess it's all working in a very positive outcome because the reality is that the product is selling very well. It's not a lack of demand. It's not a lack of people wanting to buy our product. And you can see that for yourself as you walk into the stores, it's just a function of just not having the product available for consumers to buy in a ready time for them. So we're comfortable that we've got some solutions working with our retailer. And it's just going to take a little bit of time before we start seeing that traction happen as we move into Q4 and into next year. But at the same time, like I said, our business is being built around brand strategy that will just not be one retailer. We're going to have 18,000 doors by the end of the year. We've opened up another major large mass market retailer this year. And we're looking to continue to grow our brand strategy throughout not just mass, but department stores and national chains as well. So we're very comfortable with our share objectives. We just want to taper expectations until we can see a little bit more visibility that this problem is behind us.
Taposh Bari - Goldman Sachs & Co.: Okay, thank you for that color. And then as you think about the retail environment comments that you made, you gave some pretty good color on the branded pieces, Gildan brand, private label, et cetera. Are you seeing uniform weakness versus your expectations across the board, or are there pockets within channel or brand that are weaker than others? And then the second part to that question is, as you're benefiting from lower product cost versus a year ago, do you feel like pricing is actually steady at retail, or are you having to concede and share some of that cost benefit with the consumer? Thank you.
Glenn J. Chamandy - President, Chief Executive Officer & Director: I think that the overall retail conditions are weak somewhat across the board in apparel. Everybody who has reported basically is reporting sales down. Macy's reported yesterday. A lot of the retailers are reporting weakness in apparel. So I think that's a general thing in all areas. Like we – so many times we just said earlier, it used to be one particular area was strong and one wasn't. I think we have the general consensus that retail in general is weak. Our position is we think we can grow in a weak market in every one of the categories because of our brand and our product positioning. And as far as pricing is concerned, and that's why we're confident is because look, we've priced our products right. We are still significantly priced below anybody in the marketplace. And with all of the cost reductions in retail, our manufacturing cost reductions, our cotton cost reductions, the non-recurrence of the negative manufacturing efficiencies, we're going to see our operating margins in Branded grow in Q4, and they're going to continue to grow into 2016. So the answer to your question is we will be able to maintain all these cost savings in our margins in Branded.
Taposh Bari - Goldman Sachs & Co.: Great, thank you very much and good luck.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Stephen MacLeod with BMO Capital Markets. You may begin.
Stephen D. MacLeod - BMO Capital Markets (Canada): Thank you, good morning. I just wanted to follow up on just the cost savings that you were mentioning. So how much of that have you realized today versus what's to come in over the next, I guess, call it, 24 months or 26 months?
Rhodri J. Harries - EVP, Chief Financial & Administrative Officer: Okay, I think on the cost savings front, we benefited in two areas. I talked about lower cotton costs and we also talked about manufacturing cost savings. On the manufacturing cost savings front, we're tracking to an overall plan of $100 million of savings, which we said we're going to realize by 2017. If we look in 2015, we have said that we would deliver $25 million of savings, and we would deliver that in the second half of the year. And we're really very much on track to deliver that. And then I think as we go forward, we'll continue to benefit from that in 2016 and 2017 as we complete the program. And also we'll very definitely benefit from lower cotton costs.
Stephen D. MacLeod - BMO Capital Markets (Canada): Okay, that's great. And you said you've now fixed your cotton costs beyond first half of 2016. So would that be at levels that are similar to what you realized or what you have already fixed for first half of 2016?
Glenn J. Chamandy - President, Chief Executive Officer & Director: We'd rather not say, but if you just look at the cotton and how it's traded, it is pretty much going sideways, to give you an idea in terms of – there has been a big fluctuation in the price of cotton over the last six months.
Stephen D. MacLeod - BMO Capital Markets (Canada): Okay, that's great. And then just finally, could you just talk a little bit about your volume trends with national accounts?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Look, part of our stated growth is including National Accounts, so we don't really separate it. But I can tell you that National Accounts is a little bit more susceptible to obviously retail environment. At the same time, part of our pricing action right now, what we've been able to do is our distributors are actively going after a larger piece of that business for us because we're able to achieve it with the new pricing actions we have. So the way we measure our sales to date in the U.S. is just looking at the total POS, which is up, our unit volume up 6%.
Stephen D. MacLeod - BMO Capital Markets (Canada): Okay, that's great. Thank you very much.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Derek Dley with Canaccord Genuity. You may begin.
Derek Dley - Canaccord Genuity Corp.: Yeah. Hi, guys. Just going back to this inventory replenishment issue. At these retailers where the pegs are empty, are you guys gaining space on the shelves overall, recognizing there's no product on those shelves? But are you gaining space at these retailers?
Glenn J. Chamandy - President, Chief Executive Officer & Director: We're looking in different ways with the particular retailer you're mentioning to solve our problem. That way, space is an option for us, I mean, because partly, the more space you have, obviously the more inventory you have. But that's something that we're working together with our retail partner, and that's something that hopefully will resolve some of our problems. But I'd rather leave that to our next call, to be honest with you.
Derek Dley - Canaccord Genuity Corp.: Okay, that's great. That's still very helpful. And then just in Europe, touching on the international volumes. I believe last quarter you said you had some momentum in price increases, which your competitors didn't match. You lost some volume. And it looks you got that volume back. Does that mean prices came down or did the competitors bring up their pricing levels as well?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I mean, what happens over time when you have fluctuations in currency, eventually the pricing and currency find alignment, and that's what's somewhat happening. So prices are more stable in Europe. And as we go forward, I mean, I think we'll be in a position that we'll be really in line. But they're mostly in line right now.
Derek Dley - Canaccord Genuity Corp.: Okay. And then just on CapEx for 2016. Can you give us any sort of guidance directionally on what we should expect versus this year at $250 million?
Rhodri J. Harries - EVP, Chief Financial & Administrative Officer: So if you look at CapEx for 2016, I think obviously we'll continue with our investment in capacity expansion. We're also going to see some of – a little bit of CapEx sort of retimed from the latter part of this year, 2015 into 2016. So when we look overall at CapEx for 2016, probably at this juncture, I would say we're probably in the range of around $200 million. That's probably our best view at this point.
Derek Dley - Canaccord Genuity Corp.: Okay, great. Thank you very much.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from David Hartley with Credit Suisse. You may begin.
David Hartley - Credit Suisse Securities (Canada), Inc: Hi. Thanks. Just on the replenishment issue, I mean, I guess, there's a lot of discussion to be had on that, but I mean is it possible that you'll become more responsible for replenishment in store, i.e., direct delivery, having representatives involved, stocking shelves, that kind of thing?
Glenn J. Chamandy - President, Chief Executive Officer & Director: It's not something – it's a little bit out of our control, to be perfectly honest with you. But I think if you look at what the particular large mass market retailers said in their own investor days that they're putting a lot more resources in the store, putting more labor, obviously to address their own service levels. So a lot of that will happen, I guess, through the execution in the store itself. So at this point in time, we will not be participating in helping to make sure the shelves are full. That's not going to happen from our perspective at this point.
David Hartley - Credit Suisse Securities (Canada), Inc: Okay. And just thinking about all this, just to be clear, there's been no change in the level of commitment of this particular retailer or any others towards the Gildan brand or other products that you're carrying. They're still very much onboard (44:45) program, correct?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yes, for sure. Like I said, we're continuing to expand not only with this mass market retailer. But if you look at our other programs we rolled out in over – underwear in over 18,000 doors. The brand is gravitating obviously to more than one customer. That's first off in our underwear. And in our socks, we've seen our market share go to 14% basically and then become the number two brand in men's socks in the United States in unit volume. So I mean, I think that the brand has continued to resonate. We see a lot of growth as we go forward in the Gildan brand. It's up over 30% on a year-over-year basis in this quarter. Last quarter, it was up 70%. So we're going to see continued growth in Gildan. We're committed 150,000% to continue spending and investing against our brand strategy. And we're confident that we're going to continue to get new placements next year. So everything we put together in terms of driving our sales and our success and our brands is in place. And it's not just the Gildan brand, it's all of our brands, our Gold Toe brand, our Mossy Oak, our Under Armour. So we're continuing to be a brand company, driving brands, leveraging our low-cost manufacturing and increasing and making – increasing our operating earnings as we go forward.
David Hartley - Credit Suisse Securities (Canada), Inc: Okay. And just let me sneak one more in. Just on the competitive activity, if we call, I'd say, men's underwear, I mean, in the mid tier or towards the low tier where you guys price yourselves, are you seeing any heightened competitive activity, currency and other type of things like that aside more on the promotional side, et cetera?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Not any different than it historically is. I mean the type of back-to-school promotions this year were, I would say, priced in the same ballpark as they were last year, if that answers your question. I think that the only difference is there's a lot less of them this year because retailers have a lot less promotional products on their floor because they're just trying to clean up the floor. So pricing, the same, less unit volume in terms of promotional activity.
David Hartley - Credit Suisse Securities (Canada), Inc: That's great. Thanks a lot, Glenn.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thanks.
Operator: And our next question comes from Jim Duffy with Stifel. You may begin.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning. A couple questions. First, Glenn, with the pricing adjustments you made last year, you'd hoped that this would open the door for distributors to compete in new markets on the Printwear side. Is there any evidence that that's materializing?
Glenn J. Chamandy - President, Chief Executive Officer & Director: The answer I think is in our POS because our unit volumes are up 6% again this quarter. So definitely our distributors – this has been our best growth year probably in about three years in terms of unit volume in the U.S. market. So we think our plan is working. Our prices are right, and it's a two-pronged approach. It's not just price because we're priced right on the basics, but a lot of what's driving our unit volume is our fashion products. Our Anvil brand is doing very well. Comfort Colors is just doing well. We have – our performance is growing rapidly. So we're looking at it from two different sides in terms how we approach the market and the net result is, is that it's giving us good uniform growth.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Okay. And then switching to the branded side. So branded revenues are causing a lot of head scratching this morning. You're essentially flat this September against what was a disappointing September quarter a year ago. As you look out over a multiple-year period, Glenn, given your current footprint opportunities for share gains, what's the reasonable expectation for growth in this branded business?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Look, we haven't tapered our growth objectives at all. And the brands in which we were driving, you got to look at it a little bit differently is that in the quarter, obviously, we're disappointed with the $15 million shortfall in our sales due to the replenishment and bad marketing, especially in the department store and national chains. But nevertheless, we also discontinued some private-label programs as well. So when you look at the actual brands that are actually growing, everything is growing double-digits basically except for Gold Toe, which has had a little bit of a hard time in the national change, but our Gildan brand being up 30%. Our Mossy Oak is doing very well. Under Armour business is doing very well. So as we go forward into 2016, we will see very good growth in all our go-forward brands. There are some discontinued private-label programs like we said in the past that we had about $80 million that will be reduced next year. And there are some marginal GLB businesses that we're going to get out of probably in 2016. But everything will be in double-digit growth for sure on the go-forward brands that we have. So we're very comfortable with our positioning. We think we're making our investments in the right product for the long-term and we're also focusing on margin expansion because as we control our own brand strategy, that's going to allow us to actually enhance our margins. And you'll see, as we go forward, like from Q3 into Q4 and into 2016, we're going to continue to be able to lever our margin expansion in branded and objectively see the same type of margins in branded as we have in Printwear.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Very good, thank you.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Vishal Shreedhar with National Bank. You may begin.
Vishal Shreedhar - National Bank Financial Brokers: Hi, thanks for taking my questions. Just with respect to the inventory issues at the major retailer, I guess, it's Walmart. Is there any chance that can cycle across the industry and you'll see that at other retailers as well?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I think most retailers are managing their inventory anyways. So I think everybody is taking a cautious approach, I mean, just because of the overall environment. And I think what transpired at Walmart was new systems that they put in and a new process and other things that they're using to replenish their inventory. So I would say that the answer is no.
Vishal Shreedhar - National Bank Financial Brokers: Thanks. So with respect to the timing for your new facilities in Honduras and Costa Rica, my understanding was 2016 Q4. Is that still the timing for the Honduran facility?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yes, it is. And, look, Rio Nance 6 is going to come on line – during 2016, it will be built. It will come on line in Q4 of 2016. And just to reemphasize, Rio Nance 6 is actually going to be the largest footprint of any plant that Gildan actually operates in Central America. It's going to be about 50% bigger than our Rio Nance 5 facility that everybody visited. It won't be bigger in terms of output of kilograms of material or pounds of material because of the nature of what this plant will produce. But this plant is going to be pretty strategic in our development of all of our fashion products, the products that we're going to be putting into performance and other areas where we think there's huge growth potential for us in terms of product introduction both for Printwear and for Branded.
Vishal Shreedhar - National Bank Financial Brokers: Thank you.
Operator: And our last question comes from Mark Petrie with CIBC. You may begin.
Mark Petrie - CIBC World Markets, Inc.: Hi, good morning. So sorry, just to follow up on the Branded, I just wanted to ask about your expectation of growth into 2016. Obviously, the number of doors has been a big driver in 2015. Is the 2016 growth, is that more just better sell-through, or do you expect to continue to add doors in 2016 as well?
Glenn J. Chamandy - President, Chief Executive Officer & Director: No, we're definitely going to continue – look, first of all, when you look at 2016, we're going to be coming off a base. But what we said earlier in the year is we had about $120 million of new programs in 2015. A lot of those programs were set during the year. So as we annualize those programs, we already have a base going to 2016 that year over year we'll get in the first half of the year as we comp some of these new programs and new shelf space that we gained in 2015. We will gain new shelf space in 2016 and new programs. We're working with all of our retail partners now for new programs, expanded space, new opportunities. So we're very excited about our 2016 outcome, and we'll see major growth in all of our brand strategies. The only thing I would say, though, is that in 2016, we will divest ourselves of some of our private-label programs in 2016 that we won't have but that we had in 2015. And we have some GLB businesses that we're focusing on divesting as well because our GLB business, we're going to focus on two to three customers basically that have significant growth opportunities with us. But all of our brand strategies are going to continue to grow in the double-digit categories, and we feel very comfortable with our positioning as we go into 2016. More importantly, I think as we look at 2016 in Branded, we're going to have a significant obviously opportunity to continue enhancing our operating margins as we continue to benefit from the low-cost manufacturing, the lower-cost cotton, and the non-recurrence of all the negative manufacturing efficiencies that really occurred and we're comping over 2015.
Mark Petrie - CIBC World Markets, Inc.: And with regard to the new retail programming that you added in Q3, the one that you called out, can you just talk about the product offering there in terms of quality and in terms of price point?
Glenn J. Chamandy - President, Chief Executive Officer & Director: The type of product is socks and underwear. It's using actually a lot of our new technology. It's a ring-spun-type product. It's the first program that we've brought to market using our new investment into ring-spun technology into the underwear category. And it's rolled out into 1,800 new stores. It's on their website. So hopefully, that's just the beginning of future programs with that particular retailer.
Mark Petrie - CIBC World Markets, Inc.: Okay, that's very helpful. And sorry, the 2016 impact on the private-label exits, will that be it? Will that take you out of private-label and in retail?
Glenn J. Chamandy - President, Chief Executive Officer & Director: We're still going to have some private-label left over. We have some programs that will continue into 2017. But probably you can look, there will be – about half of what we've got left will disappear in 2016.
Mark Petrie - CIBC World Markets, Inc.: Thanks very much.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Chris Li with Bank of America. You may begin.
Chris Li - Bank of America Merrill Lynch: Good morning. Glenn, for the retail pharmacy channel, how big is that as a percentage of your overall channel right now within the U.S.?
Glenn J. Chamandy - President, Chief Executive Officer & Director: It's actually new to us. That's one of the big wins we had this year. But as we levered the – obviously the acquisition of Doris and their product offering into sheer, we placed our products in about a 4,000 door chain in sheer, in all the different brands that we had with Doris, which is Secret Silky, Kushyfoot, Therapy Plus, as well as Gildan underwear and socks. So it's not huge today. As you know, we only set the program in the Q3 – towards this Q3 period. So it's early days, but we're very excited about our positioning. But there's a lot more pharma-type doors that we haven't opened, obviously. There are over 30,000 doors in the United States that we're continuing to look at other opportunities to expand our brand strategy.
Chris Li - Bank of America Merrill Lynch: And given the recent consolidation with Walmart (sic) [Walgreens] proposing to acquire Rite Aid, do you see it as an opportunity for Gildan, or is it more of a challenge with the consolidation within the pharmacy industry?
Glenn J. Chamandy - President, Chief Executive Officer & Director: That was Walgreens who's acquiring them. Look, we think that's always an opportunity. At the end of the day, our positioning and our sell-through is very strong, so that should be maybe an opportunity for us.
Chris Li - Bank of America Merrill Lynch: Okay. So my last question is, given the recent pullback in your share price because of the market conditions and your strong balance sheet, would you consider share buyback a good use of capital at this moment in time?
Glenn J. Chamandy - President, Chief Executive Officer & Director: What Rhod said earlier is that as we go through the course of this year and as we go into next year, we'd rather come to the market with, I would say, a much more strategic long-term use of our cash rather than knee-jerking just to fend off our stock price today. So what we're doing is, we're having actually a planning session with our board in early February. And as part of the investor and our guidance – investor trip in March and our guidance release in February, what we're going to do is we're going to communicate to our shareholders not only our growth strategy, but as well our long-term strategy in terms of use of cash.
Chris Li - Bank of America Merrill Lynch: Great, thank you very much.
Operator: And our next question comes from Neil Linsdell with Industrial Alliance. You may begin.
Neil Anthony Linsdell - Industrial Alliance Securities, Inc. (Broker): Good morning, guys. Do you mind just giving a quick recap on – or confirming the Costa Rica facility timeline? And then just in Bangladesh, I mean you've been changing the – expanding a little bit, changing the product mix. Can you just give an update on what's going on there and where those products are going globally?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Okay. In Costa Rica, like we said last time, that plant will be built in 2017 and to support our 2018 year. And that plant will be considered to be more of a basic type product facility. And we'll give you specific maybe more color on that as we go into our investor trip in March. As far as Bangladesh is concerned, we're expanding Bangladesh. I mean, all of the product from Bangladesh today supports our European and mainly our Asian markets. Those are very fast-growing markets for us: China, Japan, Australia. And we're looking to expand Bangladesh by about 50% in 2016 actually to support future growth in that market. But that's – all that product will be designated to support our international sales.
Neil Anthony Linsdell - Industrial Alliance Securities, Inc. (Broker): Okay. And you were changing the product mix a bit, right, in Bangladesh?
Glenn J. Chamandy - President, Chief Executive Officer & Director: We're just adding more product capabilities there because we really built the initial phase of the facility to make strictly T-shirts. We're now making polo shirts. We're making fleece. So like one of the things that we communicated in the past is as we go into a lot of these international markets, we don't have the breadth of line that we have in North America. So as we continue to get placement and expand ourselves, we expand our product offering and we're going to support that product offering by new products being manufactured in that facility.
Neil Anthony Linsdell - Industrial Alliance Securities, Inc. (Broker): Okay, thanks.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And we have no further questions at this time. I will now turn the call back over to Sophie Argiriou for closing remarks.
Sophie Argiriou - Vice President-Investor Communications: Thank you, everyone, for joining us again this morning. This concludes our call, and we look forward to speaking to you soon. Thank you and have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.